Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Summit Midstream Corporation Fourth Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question and answer session. To ask a question during the session, you would need to press star one one on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, please press star one one again. Please be advised that today's conference is being recorded. I would like now to turn the conference over to Randall Burton. Please go ahead.
Randall Burton: Thanks, operator, and good morning, everyone. If you do not already have a copy of our earnings release, please visit our website at www.summitmidstream.com where you will find it on the homepage, events and presentations section, or quarterly results section. With me today to discuss our fourth quarter of 2024 financial and operating results is Heath Deneke, our President, Chief Executive Officer and Chairman, Bill Mault, our Chief Financial Officer, along with other members of our senior management team. Before we start, I would like to remind you that our discussion today may contain forward-looking statements. These statements may include, but are not limited to, our estimates of future volumes, operating expenses, and capital expenditures. It may also include statements concerning anticipated cash flow, liquidity, business strategy, and other plans and objectives for future operations. Although we believe that the expectations reflected in such forward-looking statements are reasonable, we can provide no assurance that such expectations will prove to be correct. Please see Summit Midstream Corp.'s quarterly report on Form 10-Q for the quarterly period ended September 30, 2024, which the company filed with the SEC on November 12, 2024, the 2024 annual report on Form 10-K, which we filed soon, as well as our other SEC filings for our listing of factors that could cause actual results to differ materially from expected results. Please also note that on this call, we use the terms EBITDA, adjusted EBITDA, distributable cash flow, and free cash flow. These are non-GAAP financial measures and we provided reconciliations to the most directly comparable GAAP measures in our most recent earnings release. And with that, I'll turn the call over to Heath Deneke.
Heath Deneke: Thank you for joining us today to discuss our fourth quarter and full year 2024 results. Summit Midstream Corp. had a very active and transformational year in 2024. As we entered the year, we were midway through a very thorough strategic alternatives review to determine the best path forward to maximize unitholder value. After careful consideration of the alternatives, we elected to pursue a series of transactions in a corporate strategy that we believe would deliver significant value for our unitholders in 2024 and beyond. The first step was the decision to divest the Northeast segment for $700 million in total cash proceeds, which immediately reduced leverage from 5.4 times to 3.9 times and drove an increase in our unit price from around $17 a share or a unit at the beginning of the year to nearly $30 a unit shortly after announcing the transaction. Following that, in July of 2024, we successfully refinanced the balance sheet with an upsized credit facility and new second lien notes. This significantly increased our financial flexibility, reduced our interest expense, and extended our nearest maturity out to 2029. Then in August, with the support from our unitholders, we simplified our corporate structure by converting from a master limited partnership to a C corp, which broadened our investor base and significantly improved our overall trading. Following these series of transactions, Summit Midstream Corp. emerged in the third quarter of 2024 with a strong balance sheet, a simplified corporate structure that made our equity easier to own, and with ample liquidity and a higher valued equity currency to pursue our corporate strategy to rebuild scale through value and credit accretive transactions. Then during the fourth quarter, we executed on that corporate strategy by signing and closing the value and credit accretive acquisition of Tolup Midstream in the Arcoma Basin. We financed the Tallahok acquisition through a combination of cash and stock, which not only materially increased our size and scale but importantly increased Summit Midstream Corp.'s exposure to natural gas-oriented basins that are strategically positioned to ramp up production in coming years to feed the high-growth markets and LNG exports in the Gulf Coast region. The execution of our corporate plans and strategy in 2024 resulted in significant value creation for our shareholders as our share price more than doubled by the end of the year. We are obviously pleased with our achievements throughout the year and the resulting performance in our share price, and we believe there is a lot more value creation ahead as we maintain our financial discipline and continue to execute our corporate strategy in the coming years. Our momentum has continued to build as we enter into 2025. In January, we closed on a $250 million add-on to the existing second lien notes, terming out our revolver borrowings and replenishing our liquidity to continue executing on our consolidation strategy. In February, with the ongoing progress we made on delevering the balance sheet, we announced plans to reinstate the cash dividend on the corporate series A preferred beginning on March 15th of 2025, which is a necessary step towards resuming a common dividend in the future. And yesterday, we are pleased to announce another value accretive and strategic bolt-on acquisition of Moonrise Midstream in the DJ Basin, which further expands Summit Midstream Corp.'s gathering and processing capacity in the area at a crucial time as volumes behind our existing DJ assets continue to grow. We purchased the system at an approximately five times 2024 EBITDA multiple and financed the $90 million transaction utilizing roughly a turn of equity and four turns of cash. Moonrise adds 65 million a day of processing capacity to the system, approximately half of which is currently available to support continued growth behind our DJ Supersystem in coming years. The Moonrise system is already connected with our existing DJ assets via multiple pipe interconnects, and we expect to extract significant operational and commercial synergies in 2025 and beyond with a combined operating footprint. We remain very excited about the growth trajectory of Summit Midstream Corp.'s existing DJ Basin position and our ability to capture additional value, accretive opportunities in the year ahead. Moving on to our fourth quarter and 2024 financial results, they were in line with management expectations. Summit Midstream Corp. delivered fourth quarter adjusted EBITDA of $46.2 million and full year 2024 adjusted EBITDA of $204.6 million. During the year, we generated more than $85 million of distributable cash flow. We experienced a consistent level of WellConnect throughout the year with 156 new wells connected in total. In the Barnett, which is now included in our Mid Con segment, we connected 27 new wells to the system, exceeding our original expectations, which led to a roughly 80% volumetric growth from Q4 of 2023 to Q4 of 2024. We are expecting similar levels of development in 2025 in the Barnett, and with an active rig running behind our Oklahoma system, we are set up for another strong year of growth in the Mid Con region. In the Rockies region, we connected 129 wells to the system with 37 wells in the Williston and 92 wells in the DJ. This level of activity led to 5% volume growth in the DJ Basin from Q4 of 2023 to Q4 of 2024. We mentioned in the DJ operational update yesterday, we are nearing full utilization of capacity in certain areas of our footprint, which has led to some of our customers electing to moderate or defer development activity behind our system in 2025. However, with the acquisition of Moonrise, we do expect to resolve those capacity constraints and expect to see activity levels continue to increase behind our DJ systems in 2026 and beyond. And lastly, we saw tremendous volume throughput growth on Double E, increasing volumes by roughly 60% from the fourth quarter of 2023 to the fourth quarter of 2024. We continue to remain confident in our ability to fill up the existing uncontracted capacity with long-term take or pay contracts. So 2024 was a solid year for Summit Midstream Corp. operationally. With a supportive commodity price environment, we are looking forward to another strong year ahead. I'll now briefly hit on our 2025 plan and guidance range, then we'll turn it over to Bill Mault to discuss some more details in his section. We announced full year 2025 adjusted EBITDA guidance of $245 to $280 million, which is inclusive of our recent Moonrise acquisition. We expect to connect 125 to 185 wells to the system in 2025. Similar to previous years, our guidance range incorporates real-time feedback we are receiving from our customers regarding their development plans, and we are tracking rigs and completion crews and permits to ensure that well connects remain on track in 2025. So just as a refresher to our risking and guidance methodology, if our producers hit their current turn in line dates and production targets, we expect to be at the high end of our adjusted EBITDA guidance range in 2025. The low end of our range reflects roughly a 30% reduction in planned well connect activity in 2025, mainly due to risking the time in the wells are slated to come online in the third and fourth quarters and delaying those into 2026. We will continue to keep an eye on activity levels in and around the system, and we'll provide updates throughout the year. Our 2025 capital guidance ranges from $65 million to $75 million this year, which includes $15 million to $20 million to maintenance capital. The capital budget in 2025 is primarily related to well connects in the Rockies and Mid Con segment and integration capital related to our recently acquired Arcoma and DJ assets. Further, I would like to characterize that roughly $20 million of our capital budget in 2025 is a one-time or nonrecurring expense. So as you can think about the business going forward, capital requirements will be closer to the $45 to $55 million range to support this level of EBITDA in 2026 and beyond. And with that, I'd like to hand the call over to Bill Mault to provide some additional details on our financial results and 2025 guidance.
Bill Mault: Thanks, Heath, and good morning, everyone. As Heath mentioned, we had a great year and are extremely excited about how 2025 is shaping up. I'll start by discussing our financial performance followed by providing a bit more color on 2025 guidance. Summit Midstream Corp. reported fourth quarter net loss of $24.8 million, adjusted EBITDA of $46.2 million, resulting in full year 2024 adjusted EBITDA of $204.6 million, which includes $30.6 million from the Northeast segment that was divested in the first half of the year. Capital expenditures totaled $15.8 million for the quarter and $53.6 million for the full year 2024. With respect to Summit Midstream Corp.'s balance sheet, and pro forma for the add-on to the second lien notes we executed in January, we had net debt of approximately $852 million. Our available borrowing capacity at the end of the fourth quarter totaled approximately $444 million, which included $1 million of undrawn letters of credit. The Rockies segment, which is inclusive of our DJ and Williston Basin systems, generated adjusted EBITDA of $23.2 million, a decrease of $1.6 million from the third quarter largely due to a 3% decline in liquids volumes from natural production declines and lower water sales partially offset by a 2.3% increase in natural gas volumes. Liquids volumes averaged 68,000 barrels a day, a decrease of 2,000 barrels a day relative to the third quarter due primarily to natural production declines, partially offset by seven wells connected toward the end of the fourth quarter, so did little to offset natural production declines during the quarter, but will begin contributing in the first quarter of 2025. Natural gas volumes averaged 131 million cubic feet per day, an increase of 3 million cubic feet per day relative to the third quarter, primarily due to WellConnects during the second and third quarter reaching peak production in the fourth quarter. There were six new wells connected to the system behind our Hereford plant from a customer who recently acquired the acreage. This new six-well pad was their first pad in the region and we expect them to continue developing wells in the area beginning in late 2025. The Rockies segment currently has three rigs running behind the systems and more than 90 docks, which represents a majority of the WellConnects we are expecting in 2025. The Permian Basin segment, which includes our 70% interest in the EE pipeline, reported adjusted EBITDA of $7.8 million, a decrease of $0.7 million relative to the third quarter due primarily to lower volume throughput on the pipe. Volume throughput on Double E averaged 613 million cubic feet per day during the fourth quarter. The Peon segment reported adjusted EBITDA of $11 million, a decrease of $1 million relative to the third quarter due primarily to a 2.5% decline in volume throughput and a slight increase in operating expenses. The Mid Con segment reported adjusted EBITDA of $12.8 million, an increase of $5.6 million relative to the third quarter, primarily due to one month contribution from the Arcoma assets that we closed on December 2nd, and a 29% increase in volume throughput behind the system. As Heath mentioned, we connected 27 wells to the system in the Barnett throughout the year, which has led to some pretty significant volume growth. Additionally, as of December 2024, the customer who started the year was shutting production behind that system has started reflowing all of their shut-in volume at this time. With a supportive natural gas price environment, we would expect to see that volume remain online going forward. There are currently two rigs running behind the system, and subsequent to year-end, the main customer in the Arcoma who continues to run a rig has turned in line six wells that are producing approximately 50 million cubic feet a day, which are performing above our internal expectations in the aggregate. I'd now like to focus on our 2025 guidance. And to reiterate Heath's comments, the midpoint of our guidance range risks the timing of well connections relative to what customers have provided. The low end risks all that even further, and the high end assumes customers hit their timing targets. We currently have five rigs behind the system and more than 100 docks, which represents 65 of the expected well connections at the midpoint of the range. Approximately 75% of the 2025 well connections are from crude oil-oriented areas, and 25% from natural gas-oriented areas. Crude and natural gas prices remain supportive of continued development across our entire system. In the Rockies, we are currently expecting 95 to 140 WellConnects in 2025, with approximately 80 to 100 coming from the DJ and the remainder in the Williston. This level of activity will drive volume throughput growth in gas volumes and a relatively flat liquids volume throughput. Nearly half of the wells in the Williston this year are expected towards the end of the year, so we'll have minimal contribution to this year's volume and earnings. Now to the Mid Con. We are expecting 30 to 45 wells in 2025, which with the addition of the Arcoma assets will lead to significant volume growth year over year. We currently have one rig running in the Barnett and one rig running in the Arcoma, and as I already mentioned, have already connected six wells in the Arcoma in 2025, so we're off to a great start. With a supportive natural gas price environment as we are currently seeing, we believe producers in this region will be incentivized to accelerate development plans if possible. Shifting to the Permian, year-over-year expected EBITDA growth is primarily related to contractual step-ups in long-term take or pay contracts, executing the first half of 2024 that will take effect through the first half of 2025. Quickly on the POMCs, we are expecting no new well connections in 2025, which will result in a decline in volume and EBITDA compared to 2024. Finally, I'll spend some time discussing CapEx and the balance sheet. We're expecting to spend $50 to $55 million in growth CapEx for 2025, and $15 million to $20 million of maintenance CapEx. The majority of the growth CapEx for 2025 will be spent in the Rockies and Arcoma region where we have a number of pad connects given the amount of well connections expected for the year, and have some integration capital in the Arcoma that will enable us to realize operating synergies in the future. With $245 million to $280 million of expected adjusted EBITDA and $65 million to $75 million of total capital expenditures, we expect significant free cash flow generation and debt paydown throughout the course of the year. Based on the midpoint of our guidance range, we expect to generate over $100 million of free cash flow available to pay down debt and trend toward our 3.5 times leverage target. And with that, I'll turn the call back over to Heath Deneke for closing remarks.
Heath Deneke: Thanks, Bill. Look, as discussed on the call today, we are very pleased with the progress we've made in 2024 and are excited about the outlook and the opportunity set for Summit Midstream Corp. to continue to drive value for our shareholders in 2025 and beyond. We continue to see strong operating momentum and high free cash flow generating growth from our existing portfolio of assets, and we believe we are in an opportunity-rich environment to continue to scale up the business through value and credit accretive acquisitions in the future. We're excited about the opportunity to further expand our investor base as we continue to execute on our base business plans and our corporate strategy. Bill mentioned in his remarks, at the midpoint of our guidance range, we expect to generate more than $100 million of levered free cash flow after growth and maintenance capital in 2025. We plan to utilize that to continue to delever the balance sheet towards our 3.5 times long-term leverage target. We hope that our current and prospective investors are taking note of the sizable amount of distributable free cash flow that our business model generates, as well as our ability to consider a stable return of capital program as a mechanism to further enhance shareholder returns in the coming years as we achieve our targeted leverage profile. With that, operator, I'd like to open up the call for questions.
Operator: Thank you. As a reminder, to ask a question, please press star one one on your telephone and wait for your name to be announced. To withdraw your question, please press star one one again. At this time, I show no questions in the queue. This does conclude today's conference call. Thank you for participating. You may now disconnect.